Operator: Hello, ladies and gentlemen. Thank you for standing by for Li Auto's Second Quarter 2024 Earnings Conference Call. At this time, all participants are in listen-only mode. Today's conference call is being recorded. I will now turn the call over to your host, Ms. Janet Chang, Investor Relations Director of Li Auto. Please go ahead, Janet.
Janet Chang: Thank you, Kerry. Good evening and good morning, everyone. Welcome to Li Auto's second quarter 2024 earnings conference call. The company's financial and operating results were published in our press release earlier today and were posted on the company's IR website. On today's call, we will have our Chairman and CEO, Mr. Xiang Li; and our CFO, Mr. Johnny Tie Li, begin with prepared remarks. Our President, Mr. Donghui Ma; and Senior Vice President, Mr. James Liangjun Zou, will join for the Q&A discussion. Before we continue, please be reminded that today's discussion will contain forward-looking statements made under the safe harbor provisions of the US Private Securities Litigation Reform Act of 1995. Forward-looking statements involve inherent risks and uncertainties. As such, the company's actual results may be materially different from the views expressed today. Further information regarding risks and uncertainties is included in certain company filings with the US Securities and Exchange Commission and the Stock Exchange of Hong Kong Limited. The company does not assume any obligation to update any forward-looking statements except as required under applicable law. Please also note that Li Auto's earnings press release and this conference call include discussions of unaudited US GAAP financial information as well as unaudited non-GAAP financial measures. Please refer to Li Auto's disclosure documents on the IR section of our website, which contain a reconciliation of the unaudited non-GAAP measures to comparable US GAAP measures. Our CEO will start his remarks in Chinese. There will be English translation after he finishes all his remarks. With that, I will now turn the call over to our CEO, Mr. Xiang Li. Please go ahead.
Xiang Li: [Foreign Language] The NEV penetration rate in China in July was approaching 50%, indicating higher adoption of smart electric vehicles versus ICE vehicles. As consumer increasingly favor leading brands with strong sales and substantial user bases, we expect the NEV market to further concentrate around top brands. In a complex and rapidly changing environment, in the second quarter, we achieved strong sales performance by focusing on user value and operating efficiency. We delivered more than 108,000 vehicles in the second quarter, representing an increase of 25.5% year-over-year. In the RMB200,000 and higher NEV market, our market share grew from 13.6% in Q1 to 14.4% in Q2, ranking first among domestic auto brands. Since June, we have remained the top-selling brand in RMB200,000 and higher SUV market in China across NEV and ICE vehicles. In terms of performance by model, all Li Auto models remained leaders in their respective market segments. In Q2, Li L7 and Li L8 claimed the top two spots in sales in the RMB300,000 and over large SUV NEV market, while Li L9 continued to be of top sales full-size SUV among users. Additionally, production and delivery for Li L6 continued to ramp up since its launch in April. Driven by its compelling product features and precise market positioning, Li L6 monthly sales deliveries -- monthly deliveries have consistently exceeded 20,000 units since June. Li L6 ranked second in sales in the RMB200,000 and higher passenger vehicle market, including both NEVs and ICE vehicles, only short of Tesla Model Y. Recently, we reached multiple delivery milestones. On June 21st, our cumulative deliveries exceeded 800,000 vehicles, making us the first emerging new energy auto brand in China to reach this milestone ever. In July, we set a new monthly delivery record of 51,000 units per month. On August 21st, our cumulative deliveries surpassed 900,000 units, an unprecedented achievement for Chinese premium auto brands. I would like to take this opportunity to express my gratefulness to each member of Li Auto and for their hard work, and also my gratefulness to all of our users for their recognition and support. In the second quarter of 2024, we recorded total revenues of RMB31.7 billion, up 10.6% year-over-year, while maintaining a healthy gross margin of 19.5%. We're confident that our operating performance will improve further in the second half of this year as Li L6 completes its production ramp-up and cost-reduction and efficiency improvement efforts come to fruition. Vehicle delivery is the only the beginning of a typical user journey. Through frequent OTAs, we continually add new features and optimize our user experience, allowing Li Auto vehicles to grow with our users. In July, we released OTA 6.0 and OTA 6.1 to all MEGA and L series users, introducing major improvements across autonomous driving, smart space, and smart electric drive features. I would like to highlight the substantial progress we made in autonomous driving. In July, we rolled out our HD mapless NOA to over 240,000 Li AD Max users. This version is no longer dependent on prior information and therefore can operate on almost all roads across all cities in China. Our HD mapless NOA is very well-received, which is also reflected in our accelerating order intake. Since this feature was introduced to beta users in May, the production -- proportion of NOA test drives has nearly doubled. Following the rollout of OTA 6.0, the daily user engagement rate of city NOA has nearly grown -- has increased nearly eight-fold and the average NOA mileage per user have almost tripled. As of now, over 99% of users use our autonomous driving features regularly with cumulative NOA mileage surpassing 1.11 billion kilometers. Additionally, user satisfaction and AD Max take rate are both increasing steadily. Our autonomous driving system continued to iterate quickly. On our autonomous driving summer launch event on July 5, we introduced the industry's first dual-system automatic -- autonomous driving solution, integrating an end-to-end model for E2E with a vision language model or VLM. We rolled out the new solution to approximately 1,000 data users by the end of July. The E2E and VLM models brought much stronger complex resolution and reasoning capabilities to our autonomous driving system. The ONE model approach also facilitates rapid iteration. Our early bird beta testing version iterates three to four times weekly with an average daily user engagement rate of over 70%. Additionally, we developed in-house reconstructed and generative world models for training and validation purposes. This new dual system architecture has many benefits, including more efficient inference, faster model iterations, and more human-like route planning, and better overall user experience. To cope with our growing product portfolio and greater number of vehicles owned, we continue to upgrade and expand our sales and servicing network. In Q2, we upgraded existing shopping mall stores and replaced some lower-performing ones with new sales centers located in major auto parks. The proportion of sales centers has increased to 31% with the total number of showroom display spots increasing by over 13% over the last quarter. As of July 31, 2024, we had 487 retail stores located across 146 cities, as well as 411 service centers and Li-authorized body and paint shops operating in 220 cities in China. Looking at our charging networks, as of August 27, we had 733 charging -- supercharging stations in operation with 3,428 charging stalls. Alongside the ongoing build-out of our own supercharging stations, we collaborated with a number of premium partners to launch the first batch of what we call LI SELECTION supercharging stations in July. We will continue to expand the coverage and increase the density of our supercharging network. This improves the charging experience for our users, allowing more families to choose Li Auto products with no concerns. Looking ahead to the third quarter of 2024, we expect vehicle deliveries to be between 145,000 to 155,000 units. As a growth-driven company, we're committed to creating products and services that exceed our users' expectations while strengthening our brand in the new energy and premium car market. In the first half of 2025, we expect to launch our battery-electric SUVs to serve a broader range of family users. With that, I will now turn it over to our CFO, Johnny, to walk you through our financial performance.
Johnny Tie Li: Thank you, Li Xiang. Hello, everyone. I will now walk you through some of our 2024 second quarter financials. Due to time constraints, I will address financial highlights here and encourage you to refer to our earnings press release for further details. Total revenues in the second quarter were RMB31.7 billion or $4.4 billion, up 10.6% year-over-year and 23.6% quarter-over-quarter. This included RMB30.3 billion or $4.2 billion from vehicle sales, up 8.4% year-over-year and 25% quarter-over-quarter. The year-over-year increase was mainly attributable to the increase in vehicle deliveries, partially offset by the lower average selling price, mainly due to different product mix and pricing strategy changes. The sequential increase was mainly due to the increase in vehicle delivery, partially offset by the lower average selling price as a result of different product mix. Cost of sales in the second quarter was RMB25.5 billion or $3.5 billion, up 13.8% year-over-year and 25.3% quarter-over-quarter. Gross profit in the second quarter was RMB6.2 billion or $850 million, down 0.9% year-over-year and up 16.9% quarter-over-quarter. Vehicle margin in the second quarter was 18.7% versus 21% in the same period last year, and 19.3% in the prior quarter. The year-over-year decrease was mainly due to different product mix and pricing strategy changes, partially offset by cost reduction. The sequential decrease was mainly due to different product mix. Gross margin in the second quarter was 19.5% versus 21.8% in the same period last year and 20.6% in the prior quarter. Operating expenses in the second quarter were RMB5.7 billion or $785.6 million, up 23.9% year-over-year and down 2.7% quarter-over-quarter. R&D expenses in the second quarter were RMB3 billion or $416.6 million, up 24.8% year-over-year and down 0.7% quarter-over-quarter. The year-over-year increase was primarily due to increased expenses to support the expanding product portfolios and technologies as well as increased employee compensation as a result of the growth in the number of staff on a year-over-year basis. The sequential decrease was primarily due to decreased employee compensation, offset by increased expenses to support expanding product portfolios and technologies. SG&A expenses in the second quarter were RMB2.8 billion or $387.4 million, up 21.9% year-over-year and down 5.5% quarter-over-quarter. The year-over-year increase was primarily due to increased employee compensation as a result of the growth in the number of staff as well as increased rental and other expenses associated with the expansion of sales and servicing network. The sequential decrease was mainly due to decreased marketing and promotion activities and employee compensation on a quarter-over-quarter basis. And income from operations in the second quarter was RMB468 million or $64.4 million versus income from operations of RMB1.6 billion in the same period last year, a loss from operations of RMB584.9 million in the prior quarter. Operating margin in the second quarter was 1.5% versus 5.7% in the same period last year, and negative 2.3% in the prior quarter. Net income in the second quarter was RMB1.1 billion or $151.5 million, down 52.3% year-over-year and up 86.2% quarter-over-quarter. Diluted net earnings per share per ADS attributable to ordinary shareholders was RMB1.05 or $0.14 in the second quarter versus RMB2.18 in the same period last year and RMB0.56 in the prior quarter. And turning to our balance sheet and cash flow. Our cash position remained strong and stood at RMB80 -- RMB97.3 billion or $13.4 billion as of June 30, 2024. Net cash used in operating activities in the second quarter was RMB429.4 million or $59.1 million versus net cash provided by operating activities of RMB11.1 billion in the same period last year and net cash used in operating activities of RMB3.3 billion in the prior quarter. Free cash flow was negative RMB1.9 billion or negative $254.9 million in the second quarter versus positive RMB9.6 billion in the same period last year and negative RMB5.1 billion in the prior quarter. And now for our business outlook, for the third quarter of 2024, the company expects the deliveries to be between 145,000 and 155,000 vehicles, representing a year-over-year increase of 38% to 47.5%. The company also expects third-quarter total revenues to be between RMB39.4 billion and RMB42.2 billion or $5.4 billion and $5.8 billion, representing a year-over-year increase of 13.7 billion to 21.6%. This business outlook reflects the company's current and preliminary view on its business situation and market conditions, which is subject to change. That concludes our prepared remarks. I will now turn the call over to the operator to start our Q&A session. Thank you.
Operator: [Operator Instructions] Your first question comes from Tim Hsiao with Morgan Stanley.
Tim Hsiao: [Foreign Language] So my first question is about the autonomous driving. I think the Li Auto is diving into the NTM autonomous technology and expanding the team aggressively, how would Li Auto evaluate the return and efficiency of such ambitious investment? What could be the more relevant metrics for investors to assess the result and commercialization progress of the auto NTM autonomous driving technology? That's my first question. Thank you.
Xiang Li: [Foreign Language] Since the beginning, our investment yield on autonomous driving has always been pretty high. And in terms of operating metrics, we'd like to focus on two key results. One is whether our user is willing to use it and second is whether the user is willing to pay for it. So on the user front, metrics include the percentage time used or percentage mileage used. And since we launched HD mapless NOA in July, users' usage rate has been increasing steadily as shown by both the daily active rate and the mileage driven have both increased manyfold. On the market front, the improvement in NOA has positive effects on adoption rate. Since for potential users who come to our stores, the percentage of users who take NOA on test drives has increased more than twice. And the percentage of NOA AD Max take rate on every model has also been increasing, especially cars priced above RMB300,000, the percentage of AD Max take rate has already approached 70%. And we believe that VLM and E2E model marks the beginning of establishing entry barriers in terms of R&D for autonomous driving because we believe that this generation is real AI-powered autonomous driving. And AI further relies on large amounts of data and computing power. So, only companies with the ability to invest in this data and training capability and also have a large enough user or vehicle base are able to become bigger and bigger in autonomous driving. And this improvement in autonomous driving will then further increase sales overall and also the number of AD Max equipped vehicles. And this further in return allows us to invest even more in autonomous driving. So this is a very positive snowball effect.
Tim Hsiao: [Foreign Language] My second question is about the competition. Could the management comment on the ongoing competition between and Li Auto and Huawei? How do we expect the competitive landscape to evolve into second-half as both brands like Li Auto and AITO keep striving for the top spot in family SUV market with advanced smart driving features? That's my second question. Thank you.
Xiang Li: [Foreign Language] So first of all, HIMA is our biggest competitor in the market and our view is that we will continue to coexist with HIMA in the long-term in a very healthy fashion. And our attitude has always been to continually learn from Huawei, especially its R&D system and methodologies in operations and management as for us as a startup company to have such a model to learn from is very critical.
Tim Hsiao: [Foreign Language]
Operator: Your next question comes from Ben Wang with Deutsche Bank.
Ben Wang: [Foreign Language] I've got two questions. Number one is about the margin guidance for this year. Did you maintain a full-year 20% gross margin guidance? Especially for the third quarter, basically, you mentioned that the AD Max version proportion increased to more than 70%. Is that going to be increasing the product mix, I mean the third-quarter gross margin -- vehicle gross margin back to 20%? That's the first question. The second question is about your pure EV products. This is where you have been postponed vehicle by almost half a year. Did you change the design, especially the exterior design because for some of the style feature, it showed like design did not yet. Most of the customers prefer to change the standard design to differentiate from the MEGA design. Can you provide any comment on that? Thank you.
Johnny Tie Li: Hello, Ben, and this is Johnny. I will take the first question. I think last quarter we guided vehicle margin of around 18%. Actually, finally, we deliver 18.7% and this is effort of the company and also the product mix and the delivery -- the final delivery. So for the third quarter, we believe our vehicle marketing will come back a little bit around -- it will be over 19% and the total gross margin will be above 20% in the third quarter. Thank you.
Xiang Li: [Foreign Language] Li MEGA has been a great validation of our capabilities in 800 volt high-voltage drivetrain and also our R&D capabilities in this area, including the drivetrain efficiency of our high-voltage platform and also the end-to-end charging experience and capabilities. And as we make improvements in autonomous driving, we have also become a Tier 1 player in autonomous driving. And similarly, our competitiveness in smart cockpit or smart space has also been very strong historically. So for our best SUVs, we really only need to solve two important problems. The first one is overall styling of the product. And the second one is to make sure that we have well over 200,000 charging stations by the time we start deliveries of our product. So overall, we are pretty confident in the competitiveness of our best electric SUVs, and we -- our plan or our goal is to become a Tier 1 player in the premium BEV market in two years' time.
Ben Wang: [Foreign Language]
Operator: Your next question comes from Tina Hou with Goldman Sachs.
Tina Hou: [Foreign Language] So, thanks management for taking my question. First question is regarding our competition strategy into the second half of the year. So especially given that we don't have any new model launches for the second half, how are we expecting to maintain or even improve our sales volume? The second question is, since earlier this year, management has lowered overall volume guidance to a low end of 560,000 units for the full year 2024. However, we also gave a quite high CapEx guidance at around RMB15 billion, I think, in first quarter. So given the lowered volume guidance, how should we think about the pace of capacity expansion as well as new CapEx guidance? Thank you.
James Liangjun Zou: Hi, Tina. This is James. I will take your first question. New models are only one of the reasons contributing to sales growth. And from my point of view, efficient sales operations is another way to promote sales and that's what we are doing now. And looking forward, we will continue to optimize the deployment of our stores while strengthening our capability to gain online need. This will open the door to higher possibilities of sales growth while enhancing the efficiency of sales operations. In addition, our recently increased publicity of autonomous driving also facilitated sales growth, in particular, the sales of AD Max models. As the results show, our market share in the RMB200,000 and higher NEV market increased to 14.4% in second quarter 2024 from 13.6% in the first quarter. We aim to grow our market share in this segment further to 16% in the last quarter this year.
Johnny Tie Li: I think -- Tina, this is Johnny. And I think with James has just mentioned, 16% market share on the NEV market above RMB200,000. And if we assume a healthy passenger vehicle market in the second half of this year, we are very confident our full-year delivery will finally over 0.5 million delivery vehicles. And for the CapEx, we have optimized our CapEx pace. And in the beginning of this year, we estimate the CapEx is about $2 billion. And currently, we estimate the CapEx will be $1.1 billion to $1.2 billion. And for the free cash flow and for June and July, the free cash flow has been positive. And with going -- with the optimization of the CapEx investment and also the improvement of the operational efficiency, we are very confident that our free cash flow will come back to positive starting from the third quarter.
Operator: Your next question comes from Xu Yingbo with CITIC Securities.
Xu Yingbo: [Foreign Language] And so I have two questions. The first question is about end-to-end autonomous driving. So what's our view about our future plan all in this area? And the second question is about robotaxi, how we see this trend? Thank you.
Xiang Li: [Foreign Language] First of all on the end-to-end VLM model, the iteration rate and performance actually exceeded our operations. Since we began our 1,000 early bird testing program in July, in less than a month, the model has gone through nine iterations, on average a new iteration every 34 days. The amount of data used for training has also increased from 1 million clips at the beginning to 2.3 million clips currently, and the model capabilities has also been increasing along the way. Many of our early bird testing users have posted many videos of their end-to-end driving on social media to showcase the great performance on city roads. The rapid iteration of the model can -- won't be possible without high -- highly efficient and automated testing capabilities. And we rely on world models to build a simulation testing system. In this system and using user feedback and using real-world scenario reconstruction and generative technologies, we have built a pull of a library of mistakes and testing scenarios for our models to make sure that our models are most fully tested and trained. This testing program can rate the models in terms of safety, comfort, and many other dimensions. And we believe that there has been a fundamental change in autonomous driving R&D that has increased from feature iteration to model capability iteration. And the speed of iteration is highly dependent on whether we have high-quality and large amounts of -- high-quality data and large amounts of computing power. And also what I mentioned earlier, which is the automated simulation testing program. So our end-to-end VLM system, we we're planning -- for this system, we're planning to launch a greater scale or approximately 10,000 user scale testing program starting in September. And on your question regarding robotaxi, our view interestingly is that as we reach Level 4 autonomous driving, the demand for taxi -- for ride-hailing and taxi and will actually decrease. And obviously, the market will take more time for us to observe and to see how it develops in the future.
Operator: Your next question comes from Paul Gong with UBS.
Paul Gong: [Foreign Language] So we have seen recent weak consumption sentiment in China, but the auto sales series continue to grow in terms of the sales volume. In the environment of the government stimulus as well as certain pricing adjustments upwards by the German premium brand, have you seen the competitive environment in the high-end market has sequentially improved recently?
James Liangjun Zou: Okay, Paul, this is James. I will take your question. And I believe our recent robust sales performance has been largely contributable to our Li series competitive advantage from its product strength. And our adaptability and ability to make swift adjustments in responding to the market. Apart from the traditional sales channels in the second quarter, we ramped up our investment in online marketing resources such as Douyin and other online platform, achieving significant results as it brought our process substantial increase in [sales leads] (ph). Additionally, we are revolutionizing our sales system by giving more empowerment to regional level. This system allows each region to adopt regional sales strategy in a flexible approach on the condition of accomplishing profit targets given by the company. This approach significantly enhances the sales potential to reach to -- each regional -- to each region. Last but not least, since June 2024, the NEV penetration rate in the RMB200,000 and higher market has reached over 50%, which is a significant milestone. After this, I think the premium NEV industry will continue to consolidate and I believe the auto will be one of the main beneficiaries during this process. Thank you
Paul Gong: [Foreign Language] So my second question is regarding the preparation work for the BEV models next year. Given the half-year adjustment of the launching time, will you adopt more new technologies, the latest technologies, and how much of the scale have you been preparing for the supply chain in terms of the capacity?
Xiang Li: [Foreign Language] Our plan is still to launch multiple 800-volt high voltage pure electric vehicles next year, 2025. In terms of R&D, everything is on track. So far, we have completed multiple rounds of low-volume trial production of prototype vehicles. And according to our testing and including, for example, high-temperature, high humidity durability testing schedule, we -- everything is going according to plan. And in terms of supply-chain readiness, everything is also on track. The planned production capacity is sufficient to meet the sales targets. And this -- the factories for manufacturing these vehicles have completed production -- completed construction and the four major lines of stamping, welding, painting, and assembly are also under testing and installation. We are planning to have key components develop in-house on our BEV electric vehicles and these have also been going through performance testing. External suppliers and our partners have also been developing and building out their production capacity on track. Everything is going according to plan. So overall, we're very confident to deliver our BEV models next year according to plan.
Operator: Your next question comes from Yuqian Ding with HSBC.
Yuqian Ding: [Foreign Language] So, I got two questions. The first is, last season management talked about the reallocate the model display in the channel to maximize the product mix and bring more exposure to the high-end model like L8. How does that go versus the expectation? The second question is about, there's been quite some restructuring and adjustment in the first half. Could you refresh the full year R&D expense guidance and highlight us, change if any? Thank you.
James Liangjun Zou: Okay, Yuqian. This is James. I will take your first question. As we open more stores in auto parks, the number of display spots for L8 has gradually recovered. We also developed the new online sales channels including Douyin to ensure sufficient sales leads for L8. So now L8 sales has been steadily improving since April. Currently, its monthly deliveries has recovered to the range of 6,000 to 7,000 units.
Johnny Tie Li: Hi, this is Johnny. For R&D, we expect the full year GAAP R&D will be below RMB12 billion. Thank you.
Operator: Your next question comes from Jin Zhong with CICC.
Jin Zhong: [Foreign Language] So my first question is about the distribution network. After the review of the first half of 2024, we have made a lot of improvements. So just as Mr. Li Xiang mentioned about, we increased the proportion of the central stores. So can you share more about the detail behind the above changes about the logic and our [stance] (ph) on the distribution network extension and also entering into the lower tier cities. And also what we should do more to prepare for the launch of EV models next year.
James Liangjun Zou: Okay, Jin Zhong, this is James. I will take your question. So first of all, we are speaking to our direct sales model, and we are aiming to display all models in our showrooms. And that's what we are doing now. And our retail stores in all auto parks have larger floor spaces and have the capacity to display 9 to 11 vehicles. And we will display all of our models in these stores. So since the start of this year, we have been making many adjustments towards our sales channels. We are gradually replacing low performing stores in the shopping malls with retail stores in leading auto parks. We will continue to focus on the best auto parks in the top 150 cities and open large high-quality stores there. In terms of our achievements so far, the proportion of our stores in auto parks has increased from 24% last year -- end of last year, to 31% at end of June 2024. We plan to further increase the proportion to close to 50% by end of this year. And regarding your question that next year for the BEV, when we launch our BEV models, so we will continue to increase the proportion of the car park stores next year, so to facilitate our display spots. The showroom capacity per store also improved, alongside the increased proportion of stores in auto parks, the number of showroom vehicles per store has increased from 4.6 units at the end of last year to 5.1 units at the end of June 2024. And we plan to further increase this metric to cover six units per store by end of this year. Our total number of showroom display ports has increased from 2,642 at the end of last year to 2,919 at the end of June 2024. We plan to further increase this number to over 3,600 by end of this year. Thank you.
Operator: As we are reaching the end of our conference call now, I'd like to turn the call back over to the company for closing remarks. Ms. Janet Chang, please go ahead.
Janet Chang: Thank you once again for joining us today. If you have further questions, please feel free to contact the Li Auto's Investor Relations team through the contact information provided on our IR website. This concludes this conference call. You may now disconnect your line. Thank you.